Reese McNeel: Hello, and welcome, everyone, to this Q3 presentation for Prosafe. I'm Reese McNeel, and I'm the CEO, and thank you for joining the presentation today. I would like to start the presentation today by just giving a little bit of a highlight of Prosafe again, reminding people who we are. Prosafe, we are the largest operator of offshore accommodation rigs. We currently have 5 accommodation rigs. We've been in this business for over 30 years, and we're one of the leading operators worldwide, headquartered in Norway, but with offices, as I'm speaking from here today in Rio and operations in the U.K. and Australia. Talk a little bit, I'd like to spend a bit of extra time during this Q3 presentation to talk a little bit about what we have been up to the last couple of quarters and particularly the last quarter. Prosafe has been through quite a transformation. We've got a new management team in place, and we've been really refocusing and repositioning the business. So I'll spend a little bit of extra time on that during this presentation. So as mentioned, we got a high-end fleet. All modern units that we currently have are contracted to 2027. We have a very leading position in Brazil. We got backlog extending into 2030, very strong market fundamentals. I will spend a bit more time on that during this presentation, particularly talking about what's happening on the tender side. We're driving -- we've set ourselves an ambitious goal to be the most efficient operator in the accommodation segment. And at the same time, we're exploring strategic and M&A opportunities, and I'll talk a little bit about why that is the case and why we are looking into that. Jumping back just slightly to Q3 and how we did during the Q3 specifically. I'm very proud to say that this was a quarter where we actually had all 5 of our units working during the quarter and 100% utilization in September. We got to go several years back since we actually had that. So I'm very proud to be here and to be able to say that all 5 of our units are working. But a good safety performance, 99% to 100% uptime during the quarter. And very happy to say that we are well on the way to getting Safe Boreas onto her gangway connection in Australia. She's on a standby rate from 1st of September, and we're now expecting her to be gangway down between the 10th and the 15th of December in Australia. Also Safe Caledonia, those who have been following us will see that she did have 2 of the 10 weeks -- sorry, 2 of the 12 weeks of options called. So we have 10 weeks of options remaining. I will say that we are very optimistic that several of those options will be called in the very short time and really impressed with how Safe Caledonia has been delivering for Ithaca. To the financials, a very good result this quarter as well, $12.8 million in EBITDA. I'll say that's before reorganization costs. I'll come on to some of the cost initiatives we've been doing, but in particular, part of that is restructuring the organization, and we did have approximately $1.5 million of one-off reorganization costs in the quarter. We completed the recapitalization in the quarter. I'll talk a little bit more about that to establish a sustainable cap stack. And we currently have a solid liquidity position at over $83 million. Looking a little bit ahead, we're still on track with our guidance at $35 million to $40 million, which we've communicated several months ago. I think the market is very strong. I'll spend quite a bit of time on that in this presentation in this quarter. And again, we're looking into more strategic opportunities. The refinancing, we talked about, I think, in the last quarter, but again, a highlight here for us. We have significantly reduced the debt on our balance sheet. We've gone from net interest-bearing debt of $400 million down to $200 million. Approximately, that's cutting almost the debt load in half. And in addition, we've obviously, through that exercise, gained extra liquidity. And I can say that we have a sustainable capital structure now in place with liquidity to get us through to meet these working capital and CapEx needs, which we have coming at us. So it's very pleased again that we were able to close this refinancing exercise early in Q3. The management team and the strategy. This is very important for me. We have been through a difficult time in Prosafe, but we are coming out. We're seeing the back end. I think we're very well positioned. If you look at the position in the market, we did in the past 12 months, extend the safe notice on a substantially better contract than she was before. So we are capturing the market potential that is there. We have gone from $6 million EBITDA to $28 million annual EBITDA on the notice contract. And I think what we see, and I hope I can demonstrate a bit of that in the slides to come, is that this market is actually very tight. There's a very high utilization. I think we will continue to see high day rates and potentially even increasing day rates going forward. At the same time, coming out of the restructuring, we got a new management team on board. We got a new Board. I think we're very focused on what we have outlined strategically, reducing the cost base, becoming the most efficient operator and really leveraging particularly our position in Brazil. And part of this initiative is obviously to reduce not only operating costs, but also our general administrative costs. And we've set ourselves an ambitious target of reducing that by greater than 15%. As I commented on, we have had some one-offs this quarter, and I think that's part of driving that. I think we already are on a good path to reach that 19% number on a run rate basis and in 2026. Little bit on the new management team. Very happy to say that we've got a very experienced team, very experienced Board, very interactive Board with Carey Lowe on board, who was at Valaris as the COO. We've got Monique, who's the Deputy CFO in Constellation with a really strong Brazil experience. We've got also some banking experience and some good experience with Knut from TechnipFMC. And on our side, you got myself, who've been with the company for 3 years. I was the CFO. I'm very pleased to step into the CEO position. And alongside me, I have Ryan, who's been with the company for 20 years. I think Ryan is Mr. Floatel, if I can say that he knows this market in and out. And Claudio is a long-term employee, I think is very focused together with myself and driving efficiency and supporting our Brazil business going forward. The fleet. During the last year, we have actually trimmed back the fleet. We sold the Concordia and we also sold the Scandinavia. So I think if we look at our fleet now, we are very much consolidated around the high-end fleet. We have the Safe Caledonia, which is working for Ithaca. She is a more unit. But with her as side, we are very focused now on DP3 high-end units. And if you just look at them and where they're able to operate, we operate in the harshest, most difficult environments, whether it's in Norway or down here in Brazil. I'll say that I was on board, for example, the Caledonia a few weeks ago. 15 odd wins, quite a lot of swell. The performance of these units is very impressive. And even in Brazil with high swell, DP3 units, follow target mode on a moored, on a turret moored unit with [indiscernible], we are able to hold position. So we have very high and high-performing assets. And those assets, as I mentioned, are largely booked. We have backlog into 2030 with the recent notice extension at a much higher rate. And we have the Safe Zephyrus, Safe Eurus and Safe Boreas all working and all booked out during 2026. So we're very happy about that backlog picture, and we have an eagle-eye focus, particularly going into '26 of extending the Zephyrus and Eurus. I'd like a little bit in this presentation to, as I mentioned, to go a little bit more in depth on the market and what is happening in this market because it makes me very excited. I think it's a very exciting market and a very exciting time that we find ourselves in. As we know, there has been some discussions about the oil price, the oil price has been down, some discussions about operators pulling back on exploration spend. I would like to say that Prosafe and in particular, the accommodation sector, we are very much a Brownfield maintenance-driven business. If you look at our operations, where we're earning our revenue, approximately 80% of that is coming from maintenance and operations of installed installations. So we are much more focused on what has already been installed, maintaining what's already been installed than we are on hookups, commissioning new projects. So I think that reduces our exposure to the short-term volatility. And I'll come back to that, our correlation is much more to the age and number of installations rather than sort of new developments. And I think that positions us in a very positive place in the market despite the short-term fluctuations. Looking at the global market of accommodation, we define the accommodation fleet as 31 units. These are the units, high-end units at the top, and we have some lower-end units. I think some of our competitors, they define the market a little bit more narrow. We define the market as those players who we see participating in tenders or participating in RFIs, RFQs where we are also participating. So this is the sort of in-scope competitive fleet and how we see it today. It's a relatively limited 31 units. One thing I will say is that this market is quite fragmented. We are the largest player in this market. If you look through, we have several one asset owners. And despite there being sort of a significant increase in the number of units, we've also seen a number of -- an increase in the number of owners. And we feel that ourselves as the largest player with the sort of market position that we have and the strength of our operations that we should be well positioned to be able to consolidate some of this market. We know that these units for some of our competitors are noncore. And therefore, we think there is a positive opportunity here when it comes to consolidation and M&A. There's a lot of SG&A floating around this marketplace, and we think that, that can be -- we can create a much more efficient marketplace for all participants. When we look at that market and these 31 units, where are they? Where are these units? Where are these units working? Brazil. Brazil is the main focus of the accommodation market today. It's approximately 50% of all active units. If you look there, we've got 13 units currently in South America at the moment, they're actually all in Brazil. By far, this market has shifted. It used to historically be a bit of a North Sea market. It has shifted. It's now very much so a Brazilian driven marketplace. And on the back of that Brazil demand, we see that -- which has increased, I'll come on to that in my next slide. This Brazil demand is driving us to all-time highs in across the accommodation segment. So if we look at the contracted demand at the moment is at a 10-year high. That means that we haven't seen this much demand in the last 10 years. You got to go back to sort of the last cycle before you can see this higher demand. And we see utilization rates getting up to 90%, particularly on the high-end units. And I think when you see utilization going above 80% into 90%, that's when we really tend to see historically, and we see it now, good increases in day rates going forward. And this, I would like to highlight is on top of the fact that there has been an increase in the supply. So the supply has been absorbed and utilization remains at a 10-year high and at approximately 90% for the high-end units. So a very positive market dynamic for us. What is driving that? As I mentioned, a key driver to this is Brazil and a key driver to this is not necessarily the installations or new developments, which is the installed base of FPSOs in Brazil. There are 67 floating production units in Brazil. There's a forecast that's going to go up to over 80. When we are working in Brazil, what we see is that after approximately 2 years of new installation, they are getting serviced by an accommodation unit. It's a quite harsh environment. Some of the players here, Equinor, others, they mentioned to us that the corrosiveness of the environment in Brazil is 2x to 3x what they see in the North Sea. So the maintenance demand is very high, and these very high-end FPSOs producing 180,000 to 200,000 barrels a day. They require more extensive maintenance, more beds and it's in a relatively difficult met ocean environment, and that's where the demand for high-end accommodation units is really picking up. And you see that on the graph on the right. This is a graph that shows from 2024 peaking up into 2026, we see a substantial increase in the actual demand for units in Brazil. And this is what is sort of being that -- as I mentioned, with this being 50% of the market, this is driving the utilization and driving the rates much higher. We, as Prosafe, I think it's very fair to say we have seen this trend for a couple of years out. We strategically positioned the Safe Zephyrus down here a couple of years ago, and we are proactively taking initiatives to align our organization to this growing market and be best positioned to capitalize on this. So we've taken some actions even recently. We've closed -- recently closed our Stavanger office. We have an office in Oslo. We're also closing our Singapore office, and we're moving many of our core functions to Brazil to align ourselves with this growing market and also to be much more cost efficient in serving this market here where we do see the most opportunities going forward. What does that really mean for us? When we say that the market is increasing, Brazil is a big demand driver. How are we going to actually capitalize on that and drive improved earnings, improved EBITDA shareholder value? I think the key to this is we have 2 units, the Safe Eurus and Safe Zephyrus. I think they're both very well positioned with contracts rolling over in '27. They're very well positioned to capitalize on this increase. We see the trend. You can see it in the charts here. Again, notice from 75 to 140 a day. When we see that there's additional tenders coming, not only from Petrobras, what we see historically from Petrobras is that they are out retendering or negotiating extending contracts approximately a year before units roll off of existing contracts. For us, these contracts, Eurus rolling off in April, Zephyrus rolling off in September of '27. So that means that realistically, we think that Petrobras is going to be in the market. There's going to be concrete discussions, tenders, negotiations really starting here in the first half of '26. And I think not only do we see demand from Petrobras down in Brazil, but we also see an increase in demand from others. Recent RFI from MODEC for multiyear accommodation job. We see also Karoon, Brava, SBM, Yinson, many of the other players here, PRIO, all now using accommodation services in Brazil. So it's not only a Petrobras game, but it's also a growing market, again, driven by the need to support this installed FPSO base, which is increasing. Now when you look a little bit further over the horizon, you have to say that the real planned FPSOs, the number of FPSOs that are sort of in planning, I'm not talking about the number of installed or existing FPSOs, but those which are planned in the future, again, where is this demand coming from? What you see is that future planned FPSOs, actually, it's the rest of the world that's dominating looking over the horizon. And here, we are talking about Guyana, potentially Suriname, Namibia, again, locations with a met ocean condition or environment relatively similar to Brazil. And I think what we're going to see is that the combination of Brazil with a high installed base and new additional FPSOs coming into this market in new markets, which, again, they're already planned. I think we're going to see a very solid base upon which we should see rates increasing. There are actually tenders out in these markets as well. Recent tender now from SBM for work in West Africa, and there's currently several units working in West Africa. So -- and one unit almost consistently working in Guyana. So this is actually happening and coming to fruition. And we see the similar day rate trend, particularly looking at the rest of the world that we've seen in Brazil, maybe not such a steep curve, but still steadily increasing also in these markets. So we're going to wrap up on the market side, I think we're very optimistic and positive on the market, driven in large part by installed base and increasing number of FPSOs in Brazil and a supply, which is relatively limited at 31. So we're very positive that we will continue to see market rates, and we are very well positioned as Prosafe to capture that. Little bit on our operations and what we've been doing, particularly in the quarter and looking a little bit ahead. Again, in the quarter, very good utilization, 86%. As I mentioned, all the units operating at a certain point in this quarter, which is the first time many years. Looking a little bit ahead, I think this quarter is also going to be very good, very high utilization expected, 88%. And as I mentioned, expecting shortly to have a full day rate on the Safe Boreas in Australia and expecting also to know a little bit more on the South Safe Caledonia options, which cross fingers, we should see more of those options called and increasing utilization also in Q1 '26. Backlog, I think this very much ties into what we're talking about in the market. We're seeing utilization at 10-year highs. We're actually seeing our backlog. We've got to go quite a way back. We got to go all the way back to 2017 to see the backlog level that we have now. So we are very focused on expanding that backlog, particularly as, again, re-contracting on the Eurus and Zephyrus, but it's good to see that actually it's not only that the market is highly utilized, but we're seeing the backlog coming through. Caledonia, I'd like to highlight there. Again, these 10 weeks of options. I think we're quite optimistic that we will see some additional options called going forward. And with the performance that Caledonia has had on that field, we are optimistic that we'll also be able to find work for her in 2027 in particular. A little bit on the financials for the quarter. Income, $42 million, I think very solid income in the quarter. I think some of that is actually -- is reflective of the fact that Boreas is on hire on the standby rate. So we do start to allocate the mobilization fee, which we have received. So that's a positive impact on our income. And we also have now a significant portion of reimbursables coming through, the reimbursables for the Boreas heavy lift contract and other reimbursables largely related to the contract for Boreas with Shell down in Australia. Income statement. The one thing to highlight on the income statement from my side for this quarter is the financial gain related to the refinancing. I think that has taken us again from being a little bit undercapitalized to having sufficient capital in the balance sheet to go forward. So in the balance sheet, again, cash position, $83 million, solid position coming out of the restructuring and a significant decrease in our net interest-bearing debt, again, having that position from where we were the previous quarter. Very important for me and very much on my mind, cash flow. If we look at the cash flow in the quarter, it was, of course, heavily impacted by the restructuring. We got some new money in. We had to pay, of course, or we closed out some of the refinancing costs or costs associated with the refinancing. So there are some impacts in the cash flow from that. But I think when we look at EBITDA, CapEx and net working capital, very much driven this quarter by the mobilizations. So we have invested a significant amount of working capital into Safe Boreas and in preparation for the Safe Zephyrus SPS, which should start here in a couple of weeks' time. So major working capital movements and CapEx are associated with these projects. Good cash position at the end of the quarter, $83 million. And if we look a little bit ahead, I do think that we're in a decent cash and liquidity position for the coming quarters. Looking a little bit at where we are as far as potential. As I mentioned, we see a significant increase in rates. We've seen rates go from $8 million run rate to $28 million run rate. If we take those sort of run rate EBITDAs per vessel, and we mark-to-market the contracts which are coming up and we take into account the cost-saving initiatives which we are driving today, we see that there's an EBITDA uplift potential from where we are today at $35 million to $40 million to $90 million to $100 million looking out in a couple of years. So significant potential in driving the rates up and also that would lead to a significant reduction in our net interest-bearing debt position. So I think we're in a good position again to capitalize on this increase and to see a significant improvement in earnings and a significant decrease in our leverage and a strong value creation for all of our stakeholders and our shareholders. This is also supported by the rig values. If you look sort of where we are EV-wise, it's significantly lower than the broker values in the market and also, of course, significantly lower than the replacement cost on these vessels. So I think as we see the market pick up, utilization pick up, rates pick up, EBITDA pick up, I very much expect that the valuation here will increase significantly and come much more in line with broker values. I'd like to just wrap up a little bit with a couple of slides on where we are in the outlook and what some of our strategic objectives are. On the outlook, we reiterate our guidance, $35 million to $40 million. We do expect Boreas to be on hire -- full day rate on hire. She's on hire on the standby. We expect it to be full day rate sometime between the 10th and the 15th of December. We're expecting Safe Caledonia to stay working a little bit longer. We got options extended into mid-December, very much expecting that this will take us a little bit further. And looking a little bit into 2026, I think we're going to have Safe notice on a new contract into 2026. And also, we're going to have, I think, a good utilization from the rest of the fleet with Safe Zephyrus having completed her SPS, Safe Boreas on a full contract. So I think we've got a good outlook looking into 2026 as well. I would like to talk first before I come to sort of my strategic priorities, I'd like to reiterate a bit again what we're very focused on is sort of a new Board, a new management team. I think we've achieved a lot. We've got an uptick in the rates and uptick in the EBITDA run rate, particularly on notice. We're actually delivering on that. I think we have taken some tough cost reduction measures, reducing both senior management and the organization, realigning the organization to the Brazil market where we see a really strong potential. We have also a cost focus now on improving our operational OpEx. We've got long contracts in Brazil. We can actually really focus on driving cost efficiency in our operations. I think we're doing some of that. We got key projects kicked off in procurement, key projects kicked off in sort of some of our maintenance and inventory management. So I think we are very much focusing on becoming this most efficient operator. When we look out, key focus, key priorities, continuing to execute on what we've been doing, safe operation, high uptime, get the backlog, as we talked about at higher rates with the reset of the Eurus and Zephyrus coming, focus on keeping our capital structure, it's all about good execution on the projects that we have coming. A final key priority for us is continuing to pursue strategic opportunities and M&A and what we continue to see as a very fragmented market. I would like to highlight that we intend to go on a non-deal roadshow in the coming weeks where we look forward to presenting the recapitalized and reenergized Prosafe to many of you. With that, I would like to thank you very much for participating in this presentation, and I will be back very shortly with the Q&A.
Reese McNeel: Welcome back. I have a couple of questions here. So let's get started. The questions are from Braga at Clarksons Securities. And Braga is asking if I can give a little more color on Safe Caledonia and what is the expected outcome of the unit as it rolls off its current contract? I think as I mentioned previously, we are very positive that the vessel will continue working. We're expecting additional options to be called. And I think that she will be working into early 2026 with Ithaca. Beyond that, our expectation is that 2027 will be quite positive for her. We see an improving market and opportunities in 2027. We're still looking after opportunities in '26, but I think the most likely outcome is that once you rolls off the current contract, we will probably be looking at a contract in 2027. I don't see that I have any more questions. So with that, I'd like to thank everyone very much and look forward to seeing you all again either on the upcoming non-deal roadshow or at the next quarterly presentation. Thank you very much.